Operator: Good morning, welcome to the Archrock Second Quarter 2022 Conference Call. Your host for today is Megan Repine, Vice President of Investor Relations at Archrock. I will now turn the call over to Ms. Repine. You may begin.
Megan Repine: Thank you, Brent. Hello, everyone, and thanks for joining us on today’s call. With me today are Brad Childers, President and Chief Executive Officer of Archrock; and Doug Aron, Chief Financial Officer of Archrock. Yesterday, Archrock released its financial and operating results for the second quarter 2022. If you have not received a copy, you can find the information on the company’s website at www.archrock.com. During the call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on our current lease and expectations as well as assumptions made by and information currently available to Archrock’s management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, our discussion today will reference certain non-GAAP financial measures, including adjusted EBITDA, gross margin, gross margin percentage, free cash flow, free cash flow after dividend, and cash available for dividend. For reconciliations of these non-GAAP financial measures to our GAAP financial results, please see yesterday’s press release and our Form 8-K furnished to the SEC. I’ll now turn the call over to Brad to discuss Archrock’s second quarter results and to provide an update of our business.
Brad Childers: Thank you, Megan, and good morning, everyone. During the second quarter, we continued to see a significant acceleration of customer activity and a strengthening of supply-demand dynamics for large midstream compression. Our focus in the quarter was converting this growing customer demand into high-return bookings, delivering profitable growth and maintaining capital discipline. Second quarter highlights include that we generated adjusted EBITDA of $99 million, reflecting solid underlying business performance that was generally in line with our internal expectations. In addition, quarterly results benefited from a net gain on the sale of assets as we continue to advance our fleet high-grading strategy. Strong customer demand and are well positioned and configured fleet of large horsepower compression equipment drove an increase in operating horsepower of 100,000 horsepower, excluding asset sales. and an increase in our exit utilization of 300 basis points to 87%. This improving utilization of our fleet and the extremely limited supply of available horsepower in the market are also allowing us to drive spot prices to record levels broadly across asset classes. Year-to-date bookings have doubled compared to the first half of 2021. This is providing us great visibility into new starts for the remainder of the year and into 2023. Last, AMS revenue increased nearly 50% on a sequential basis due to a welcome resurgence in overhaul and maintenance activity by our customers after years of deferrals. Moving on to the market backdrop. U.S. oil and gas production continued to tick higher and for both 2022 and 2023 the EIA projects solid annual increases of 3% to 4% for natural gas and 6% to 7% for oil. More recently, uncertainties around a potential for recession have emerged, sending oil and gas prices lower, albeit to levels that continue to stimulate increased investment by producers. Although impossible to handicap the risk of a recession, we think several mitigating factors are worth noting. For oil, OPEC spare capacity remains limited and its willingness and ability to use it in question. For gas, Europe is now facing severe natural gas shortages due to its dependence on the Russian supplies, and the global tightness we’re seeing in oil and gas markets is largely the result of years of structural underinvestment and issue without an immediate solution. The energy industry and our business may not be entirely recession proof, but commodity demand has historically remained resilient in periods of economic weakness and current supply constraints for oil and gas are likely to persist. As we navigate through this cyclical noise, we’ve become more excited about the long-term outlook for our business. We expect that U.S. natural gas will play a vital role in meeting clean energy demand. Our mission to help our customers deliver abundance, affordable and cleaner natural gas to a variety of critical industries to generate electricity and to directly heat and power our homes is more critical than ever. Further, recent geopolitical events have quickly driven the realization that a more diverse energy mix is needed to satisfy global energy demand and preserve energy security. In particular, we remain encouraged by the growing potential for another wave of LNG projects in the middle of this decade that would result in a meaningful call on U.S. natural gas production, and therefore, our natural gas compression services. The powerful combination of these secular forces lays the foundation for a robust and sustained upturn. Now turning to our operations. In our contract operations segment, demand for our large midstream compression accelerated across geographies, customers and horsepower categories during the second quarter. You can see the positive impacts of this demand in our results through increased horsepower growth, increased utilization and increased pricing. The 100,000 horsepower of organic horsepower growth that we delivered in the quarter was driven by several factors, including strong customer demand as seen in our bookings, and start activity as well as low levels of stock activity. Demonstrating how quickly the market has recovered and is growing, we started a total of 155,000 horsepower during the second quarter, the highest level of quarterly start activity that we’ve seen since 2019. And more than 80% of that start activity during the quarter was met by our idle fleet. Similarly, equipment stop activity has fallen to historically low levels as customers take advantage of higher commodity prices, and as the market supply of available horsepower is extremely limited. Looking ahead, with year-to-date bookings up 100% compared to the first half of last year, we have good visibility into accelerating start activity over the next several quarters. Our horsepower utilization exited the quarter at 87%, up from 84% at the end of last quarter. We’re effectively sold out of several horsepower categories, and based on our assessment of the market today, we expect to test new highs in total fleet utilization by the end of the year. During the quarter, we continued to transform and standardize our fleet with additional noncore asset sales totaling 97,000 horsepower, creating significant long-term value for our truck. We’re selling horsepower at attractive multiples and redeploying the proceeds to help advance our strategic priorities and to fund our investment in new, standardized large horsepower. This new horsepower will be deployed in the more stable midstream segment of the market for decades to come. These strategic divestitures are accretive to our leverage, have improved our returns, and position us well to continue to reduce greenhouse gas emissions from our fleet. During the quarter, we incurred higher costs primarily due to 2 dynamics. First, the steepness of the current recovery is requiring significant make-ready and labor expense to meet higher customer demand. This short-term dynamic of incurring higher costs to reactivate the idle fleet is completely consistent with what we’ve experienced during the redeployment phase in past cycles. However, this has been a particularly difficult environment to quickly and efficiently shift into growth as we’ve only recently emerged from a downturn, a period where our field organization was operating as leanly as possible and as labor availability across the industry is exceptionally tight. Second, U.S. inflation hit a 40-year high during the quarter and we experienced the impact of higher prices across our major cost categories of labor, parts and lube oil, though due to the pace and magnitude of this current high inflation, we experienced margin compression in the quarter, we are confident in our ability to mitigate these impacts. We expect capacity across the industry will remain limited in light of continued capital discipline and extending lead times for new large horsepower units, which has already allowed us to increase spot prices to record levels. In the coming quarters, we intend to reclaim the increasing costs we’re currently experiencing as we raise pricing on our installed base of operating horsepower, which we expect to translate into improved financial performance in 2023. As the current upcycle unfolds, I remain confident that our investments in our customer base, our fleet, our technology and our talent will continue to pay dividends and differentiate our truck. Moving to our aftermarket services segment, second quarter performance was sharply improved. Both parts and service revenue increased to levels not experienced since 2019 due to customers catching up on deferred maintenance work as well as a seasonal uptick in demand. Of note, we believe industry-wide labor scarcity is driving more outsourcing of maintenance, which is typically higher margin work for our AMS segment. In addition, given the nature of our AMS business, we’re able to pass through cost inflation to our customers more quickly to protect our margins. We believe this trend should continue for the foreseeable future. Turning to new ventures, the second quarter was busy for the team. As you know, we acquired a 25% minority stake in ECOTEC, a company with impressive and tested technology for continuous methane emissions monitoring and management. The partnership is obviously a good start as we began the work to introduce ECOTEC’s suite of solutions to our customer base in support of their methane emission reduction goals. I’m excited to share that we have agreements in place to demonstrate ECOTEC’s proven technology in oil and gas applications with multiple customers and in multiple basins this year. The first installation for demonstration was recently completed and look forward to sharing additional progress later in the year. Beyond ECOTEC, our internal team has been tasked with exploring potential improvements in compressor operations and design as well as evaluating potential partnerships with additional third parties with the goal of assisting our customers to achieve improvements and emission performance. These efforts to develop solutions to help our customers decarbonize further solidify our commitment to and support the role we expect natural gas will continue to play as environmentally, economically and strategically sound energy source for America and for the world. Turning to capital allocation, we intend to make high-return investments in our fleet to grow prudently and profitably with our customers, continue our dividend commitment all while maintaining a healthy balance sheet and financial flexibility. First, customer demand is robust, and we are responsibly increasing our investment in our fleet as planned so that we’ll have equipment available in configurations desired by our customers. We’re doing so at high returns and believe returns on our new build investments are poised to strengthen further as utilization increases, capital discipline in the industry persists, and lead times extend. Second, we remain committed to returning capital to our investors. As shareholders ourselves, the Board and I recognize that our dividend is an important component to the overall value equation. And today, our yield is a compelling 7%. Finally, maintaining a strong balance sheet and liquidity underpins our ability to execute on our plans. Over the last 3 years, strategic divestments of older noncore assets have allowed us to effectively manage our leverage through the downturn. And now with a much improved investment environment, we’ve essentially prefunded our growth investments in higher profit, large midstream compression units. In summary, we’re seeing levels of horsepower start activity in bookings, not seen since the 2018 through 2019 phase, and we achieved solid second quarter results. And we achieved this with and despite the pressures of a tight labor market and significant inflationary pressures. We’re in an enviable position in the industry, with the largest fleet of high-demand large horsepower units, the highest liquidity, and the lowest leverage among public outsourced compression providers. In the short term, we’ll be focused on navigating this reactivation phase of the up cycle with disciplined cost management, and by continuing to use price increases to gain ground against the inflation-driven cost increases we’re experiencing. In the medium-term, we expect to see the full top line benefit of higher horsepower, a decline in reactivation costs and pricing to catch up with our cost basis. And as we’ve done in the past, we’ll also continue to drive efficiency improvements to enhance the profitability of our business. In the long term, the market setup is strong. We believe the growing demand for energy generally and natural gas in particular, constraints in the supply of compression equipment as well as disciplined capital spending by the oil and gas sector, support well the strong and growing demand for the compression services of Archrock. Against any economic backdrop, we’ll continue leveraging our best-in-class customer service and operational execution capturing the benefits of digitalization and advancing our decarbonization strategy. The strength of long-term natural gas fundamentals and the investments we’ve made to differentiate our compression franchise give us continued confidence in our ability to generate compelling returns for our stockholders. With that, I’d like to turn the call over to Doug for a review of our second quarter performance and to provide color on our updated 2022 guidance.
Doug Aron: Thanks, Brad, and good morning. Let’s look at a summary of our second quarter results and then cover our financial outlook. Net income for the second quarter of 2022 was $17 million and included a noncash $5 million long-lived asset impairment. We reported adjusted EBITDA of $99 million for the second quarter of 2022. Compared to the first quarter, we increased our total gross margin by $2 million, largely consistent with our internal expectations. We also held our SG&A flat sequentially and benefited from a previously disclosed net gain on asset sales of $19 million. Turning to our business segments, contract operations revenue came in at $166 million in the second quarter, up $3 million or 2% compared to the first quarter. Operating horsepower and pricing both increased sequentially. Our second quarter contract operations gross margin percentage was 59%. This reflects incremental costs associated with the increased revenue and operating horsepower growth that we delivered in the quarter as well as higher parts, labor and lube oil prices. In our aftermarket services segment, we reported second quarter 2022 revenue of $50 million, up $16 million from last quarter and $18 million compared to the year ago period. Second quarter AMS gross margin of 16% was up 100 basis points from the first quarter and was 300 basis points higher year-over-year as revenue drove better cost absorption. Growth capital expenditures in the second quarter totaled $38 million, up from $29 million last quarter as we invested in new equipment to meet customer demand. Maintenance and other CapEx was $23 million and was up from the $16 million last quarter due to higher overhaul and make-ready activity. This brought total capital spend for the quarter to $61 million. We exited the quarter with total debt of $1.5 billion and had available liquidity of $477 million as of June 30. Our leverage ratio at quarter end was 4.4x. The $55 million in asset sale proceeds during the second quarter essentially pre-funds 1/3 of our growth capital this year. Managing our debt during this period of investment in our fleet continues to be a primary focus for Archrock, and we are committed to bringing our leverage down to our long-term target of 3.5 to 4x. We recently declared a second quarter dividend of $0.145 per share or $0.58 on an annualized basis. Today, this dividend level represents an attractive yield of 7%. Cash available for dividend for the second quarter of 2022 totaled $52 million, leading to healthy second quarter dividend coverage of 2.3x. As we reinvest in our business, our quarterly dividend will remain a fundamental pillar of our 2022 capital allocation, reflecting our confidence in Archrock’s strong cash generation capacity. Moving on to our updated outlook, we are tightening our full year 2022 adjusted EBITDA guidance range to $330 million and $350 million. Full revenue and gross margin detail at the segment level can be found in the earnings press release we issued last night. For contract operations, we are increasing our revenue expectations for the year due to a faster-than-anticipated activity recovery and our expectation that pricing will continue to move higher. As we absorb the cost of higher start activity and inflationary pressures discussed today, we anticipate a temporary and modest step down in gross margin percentage during the second half of the year. However, our gross profit in the second half of the year is still expected to be higher than the first half, and we intend to reclaim margin on a percentage basis next year as we increase pricing on our installed base of horsepower and as make-ready costs normalize in later stages of the recovery. We are also revising our annual AMS revenue guidance to account for stronger year-to-date performance and a more optimistic view of activity for the remainder of the year. Turning to growth CapEx, we continue to hold the line on $150 million for 2022, as we remain focused on balancing appropriate levels of investment, leverage and return of capital to shareholders. Maintenance capital is expected to be within our original guidance range but closer to the high end as we deploy additional idle horsepower. With that, I’d now like to open up the line for questions. Operator?
Operator: [Operator Instructions] Your first question is from the line of TJ Schultz with RBC Capital Markets.
TJ Schultz: On the price increases on the installed base, how quickly can you implement those? Is that a situation where you need to reach full utilization first? Or is there any guidance to quantify maybe how contracts on the installed base may phase out over time.
Brad Childers: This is Brad. We actually started increasing pricing this year at the end of 2021, and the process where we get to reclaim pricing overall really is driven by utilization being much more in the mid-80% range, that it is full utilization. So as we’ve been with our large horsepower and that higher level of utilization, we’ve been increasing pricing and stepping it up, I think, issue we encountered is the steepness of this inflation curve in the immediate environment is one that we need to continue to raise pricing to compensate for. We expect that takes typically 12 to 24 months with utilization in the mid-80s. And since we’ve been at this now throughout the year, give us 12 months, 4 quarters, plus or minus to reclaim the amount of inflation and cost increases that we’ve seen hit our margin. The only other thing I’d add is we’re a little bit more ambitious than that potentially because utilization is picking up so sharply. And this reinvestment reactivation phase that we’re in is also part of the cost environment so the impact and improvement in gross margin could accelerate from that. We expect to test new highs, both in utilization and in the future as well as continue to drive new highs in profitability, with the upgraded fleet that we operate today, the upgraded systems we’ve put in place as well as the extremely I’d say, robust and strong market we see for compression equipment ahead.
TJ Schultz: Okay. That all makes sense. And then you also mentioned you’re effectively pulled out of several horsepower categories. Can you just provide some more color on that? What categories are structurally in higher demand? Can you fill those needs for customers with other configurations and maybe what horsepower categories are you actively looking to spend on and kind of what’s the lead time there?
Brad Childers: The primary categories, but the market has depleted and it’s across the market, not just at Archrock is the largest horsepower categories are what is really super tight today. And that is the only place where we’re effectively spending capital for large, which is for large horsepower gas-driven engines. So that’s the area of the market to replace that and replenish that where we’re investing today and where we expect that to continue to invest. Lead times are out to 52-plus weeks with the engines being the primary driver on those lead times. For completeness, the other area where we are investing, and it does include some smaller horsepower is an electric motor drive as the industry is focused on managing and reducing greenhouse gas emissions, we are seeing slowly upticking in developing market for more electric motor drive horsepower across horsepower classes. And in that category, we will spend for more midsized and smaller horsepower.
Operator: [Operator Instructions] Your next question comes from the line of Tim O’Toole with Stifel.
Tim O’Toole: Thank you. Little bit of follow-up. You talked about your gross margin at 59% and going to step down and then you think it rebuilds into 2023. And I’m just wondering what do you think you can get those margins back to? Should we anticipate it getting back to the mid-60s in 2023?
Brad Childers: Well, thank you, Tim. We’re certainly not providing a forecast for guidance on gross margin for 2023 on this call. What I would share with you is that we have experienced this level of cyclical impact where we move through a redeployment and investment phase, and that includes spending more even while pricing is tight and tough because we haven’t yet seen utilization tick up to give us enough pricing prerogative. And then after utilization moves past the mid-80% like 85% pricing is reclaimed and margins improved to recapture that. So because we have experienced this in the past with such great clarity, by the way, I’m ambitious that, yes, over the long term, we expect to continue to drive profitability improvement in this business as we have in the past. And we’re ambitious about the gross margin levels we can achieve in this business.
Doug Aron: Tim, let me, this is Doug. Sorry to interrupt. But let me add to that a little bit of the grid -- as Brad’s right, obviously, we’re not ready to give guidance for next year. But as we think about that, there’s part of this equation that’s gross margin dollars, which we absolutely see is growing, price is rising. But all things equal, if lube oil, labor and parts costs are all increasing, if we have revenue to offset that dollar for dollar, your gross margin percentage still comes down, right? Just the math of that equation. So to answer the question, what I would say to you is, of course, we’d love to get back into the mid-60s and we’d like to see that as a result of both higher price and lower costs, it will be a bit dependent on both and really what our focus on is managing the costs, of course, the very best we can and also trying to be effective in forecasting what we think those cost increases can be so that we can set that in our rates going forward.
Tim O’Toole: Also, you referenced the sale of 97,000 horsepower. Can you just remind us how much EBITDA was associated with that, was it totally --
Doug Aron: Yes. Maybe we’ll follow up with Megan on that one afterwards. I want to make sure that’s something we’ve disclosed publicly. To be honest, I can’t remember if we have or we haven’t.
Tim O’Toole: Okay. And then also as it relates to ECOTEC and I understand you got your first installation, it sounds like it’s a demonstration. What should we be thinking about in terms of potentially sort of, I guess, the sales cycle for this? Is this something where you’re going to have to deploy and demonstrate for 3 or 6 months before you can get some decent results or show the customer and go forward. Maybe you could just talk a little bit about that.
Brad Childers: Well, let me talk first about where we’re at in the business, and Doug will talk a little bit about the accounting on what the expectations might be for this. But on the business itself, we do expect that in 2022, we’re going to spend the year converting this proven technology into an oil and gas application demonstrating it with our customers. And we’re not looking to the sell cycle picking up to be robust in the short term. What we’re trying to do is make sure we can have a broad market introduction of this company’s technology of ECOTEC technology so that we can set the stage for acceleration in that in the 2023 time frame. So that’s where we’re at in the business right now.
Doug Aron: And look, we -- as you’ll see in our 10-Q or perhaps have last quarter, this is accounted for under the fair value method for us. And so in terms of seeing profit and loss of that business, we really won’t be until there’s a meaningful transaction or a change in the fair value of the overall company level of ECOTEC for that to flow through. But again, as we outlined, we believe we’re going to be providing a really strategic service to our customers that’s ancillary to what we already do as our customers look for methane emission reduction strategies and look forward to this as -- be thinking about it more as a longer-term investment and one where we’ll create value in a variety of different ways.
Tim O’Toole: Okay. And then have you seen any inquiries, anything in terms of carbon capture or hydrogen, people looking for compression at all? Is there any conversations out there along those lines?
Brad Childers: Yes. So number one, on both, there are certainly individual projects that are in the market that take the application of our compression units. On the hydrogen side, I think that’s a little further out. We have not actively engaged in the projects in carbon capture. I think that’s a more active discussion right now, for the industry, and there are compression applications is a small amount for CO2 compression. A lot of that is owned. Some of it is outsourced, that’s likely to be a growing market, but we do not see that as either of those as substantial demands or substantial markets of high demand for compression at this time.
Operator: There are no more questions. Now I’d like to turn the call back over to Mr. Childers for final remarks.
Brad Childers: Thank you, everyone, for participating in our call today. As we noted, we continue to drive strong customer activity and believe we are well positioned operationally and financially to capitalize on opportunities in our business as the demand for our services increases. I look forward to updating you on our progress next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference.